Operator: Good morning. My name is Tanya, and I will be your conference operator today. At this time, I would like to welcome everyone to the Second Quarter 2014 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session (Operator Instructions) Thank you. Amy Giuffre, Director of Investor Relations. You may begin your conference.
Amy Giuffre: Okay, thanks very much, Tanya, and welcome to Harley-Davidson's second quarter 2014 earnings conference call. Our calls are webcast live on harley-davidson.com and you can access the supporting slides on that site by clicking about Harley-Davidson at the bottom of the homepage, then Investor Relations and Events and Presentations. This morning Harley-Davidson's CEO, Keith Wandell; CFO, John Olin; and President of Harley-Davidson Financial Services, Larry Hund will provide their perspective on the quarter. Following our prepared remarks, we’ll open the call for your comments. Our comments will include forward-looking statements that are subject to risks that could cause actual results to be materially different. Those risks include, among others, matters we have noted in our latest earnings release and filings with the SEC. Harley-Davidson disclaims any obligation to update information in this call. With that, let’s get started, Keith?
Keith Wandell: Thanks, Amy. Good morning, and thanks to all of you for joining us on the call. As always we appreciate your interest in Harley-Davidson. In the second quarter, we continued to see strong gains in our financial performance. Revenue was up 11.5%, net income was up 30.3%, and operating margin improved by nearly four points to 25.8% as the many improvements in operations over the last few years continue to show up on the bottom line. However, retail motorcycle sales were flat overall compared to a year ago and fell short of our expectations in the U.S. in particular, for reasons that John will go into in a couple of minutes. Given where we are in the U.S. selling season, we don't believe we'll get back fully on track with our U.S. retail plan for the full year. So in this morning's press release, we announced that we are lowering our full-year 2014 shipment guidance to a range of 270,000 to 275,000 motorcycles compared to prior guidance of 279,000 to 284,000. This new guidance has shipments growing about 3.5% to 5.5% over 2013. The reason for this adjustment is simple, protecting our premium brand is of at most importance and we will continue to aggressively manage and supply in line with demand in order to do so. We believe the flat retail sales numbers are a temporary situation and that the underlying demand fundamentals of the business remained intact, driven by first, the strong appeal of the Harley-Davidson brand, continuing outreach momentum in the U.S., international expansion and at the top of the list, outstanding motorcycles. The Project Rushmore motorcycles have performed extremely well at retail since their launch last August. And we believe they will continue to be a strong draw as riders migrate to these outstanding bikes. And we couldn't be more pleased with how the Rushmore motorcycles have been received, which we believe is a reflection of the strength of our customer led approach. Late in the second quarter the Street models began to hit U.S. dealer showrooms. Street is designed for a new generation of riders and U.S. dealers report continued strong interest, enthusiasm in sales of initial shipments. In India, initial sales of the Street 750 have exceeded our expectations, and the initial response in Italy, Spain and Portugal have also been strong. We look forward to expanding Street to other markets in 2015. Speaking of 2015, the new model launch is just around the corner and it includes the return of Road Glide. While I won't get into the specific features and upgrades we anticipate Road Glide customers and others will be excited by the changes that we've made. We'll share all the news about the complete 2015 motorcycle line in late August when some 5,000 people from our global network of more than 1,400 dealers gather for our annual dealer meeting. There's also been tremendous interest and enthusiasm for Project LiveWire, the electric motorcycle we revealed last month. The reveal has generated more than 340 million media impressions to-date. And those who have had the chance to test ride LiveWire have great things to say about it. We are taking Project LiveWire to the streets for customer test rides this year and next. We will gain deeper insight into what customers are looking for from Harley-Davidson in this type of motorcycle, so that if we launch it commercially it will deliver on customer expectations and be authentic to the Harley-Davidson brand. Project LiveWire builds on other successes at Harley-Davidson. In the last few years we've broadened our reach to a more diverse customer base in the U.S. and globally. And we've accelerated time to market with cutting edge products. LiveWire is just the latest example of how we're pushing the boundaries with awesome products and innovation that builds on our market leadership. One of the things I'm personally most excited about when it comes to our future is all the new products that are under development. As always, I want to acknowledge the efforts of our employees, our dealers and suppliers who use their abilities and talents everyday to provide outstanding products and great customer experiences. Together we are focused on continuously improving all the ways we serve customers and ensuring an outstanding future for the company. And now, I'll turn it over to John with more details on the quarter.
John Olin: Thanks, Keith and good morning everyone. I'll review the second quarter financial results starting on Slide 11. During the quarter Harley-Davidson Inc. consolidated revenue was up 11.5% to $2.0 billion. Our second quarter net income improved to $354.2 million, an increase of $82.4 million or 30.3%. Similarly diluted earnings per share rose to $1.62 per share, up 33.9% from the year ago quarter. Operating income for the Motorcycle segment was $473.3 million, up 32.3% compared to last year's second quarter. The strong increase in the Motorcycle business was driven by 12.4% increase in revenue behind a 9.0% increase in shipments. Motorcycle segment operating income also benefited from a higher gross margin percent, partially offset by higher year-over-year SG&A spending. At Harley-Davidson Financial Services operating income was up slightly year-over-year. Also during the quarter, we had lower year-over-year interest expense behind the retirement of our high-interest debt in February. We are pleased with our second quarter financial results and continue to focus on delivering strong margins and strong returns. Now let's take a closer look at the second quarter performance starting with retail sales on Slide 12. Worldwide retail sales of new Harley-Davidson motorcycles were flat to prior year in both the U.S. and international markets. Second quarter worldwide retail sales tracked below our expectations due to prolonged poor weather conditions across parts of the U.S. and soft U.S Sportster sales in the wake of highly anticipated Street Motorcycles, coupled with Street start-up issues which are impacting the timing of Street availability. Despite the soft Q2 sales results we believe the quarter demand fundamentals for the business remain intact and underlying growth trends are strong when adjusting for the absence of Road Glide. As Keith mentioned, as a result of the slow start to 2014, we believe it is prudent to adjust our shipment plan for the full year. We now expect to ship between 270,000 and 275,000 motorcycles worldwide which represents growth of approximately 3.5% to 5.5% versus prior year. Our previous guidance was 279,000 to 284,000 motorcycles. It is critical for Harley-Davidson to support a healthy retail channel and protect our premium brand by aggressively managing supply in line with demand as we had consistently done for the past several years. During the second half of this year, we expect continued success from Project Rushmore motorcycles, increasing product availability of our very well received Street Motorcycles and a very exciting 2015 model year motorcycle line-up, which will be introduced in late August and include our new Road Glide motorcycles. On Slide 13, let's review the U.S. market where retail sales were flat to prior year in the second quarter. As I stated, we believe the factors that adversely impacted U.S. retail sales during the quarter were, first, as we anticipated the absence of the popular Road Glide models in the 2014 model year continued to impact year-over-year sales results. Road Glide represented about 10% of U.S.'s retail sales in the second quarter of 2013. Second, we believe that the prolonged weather conditions across parts of the U.S. likely resulted in lost sales which we believe will not be fully recovered in 2014. Dealers also experienced a sharp decline in Sportster motorcycle sales in the U.S. which we believe was a result of even better than expected enthusiasm we are experiencing for the new Street motorcycles. Some customers are waiting to compare the two product offerings firsthand, however, we are experiencing a slower than expected dealer retail fill of Street due to start-up issues that have resulted in very low product availability to-date. During the quarter we had a market share of 50.3%. Our market share continued to be at near-record levels. It was down 2.6 points on a year-over-year basis. We believe the decline was driven by the absence of Road Glide in the 2014 model year and our share of the small cruiser segment within the 601+cc motorcycle market decline behind lower Sportster sales, as I just mentioned. Through the first six months U.S. retail sales were up 1.1% compared to last year and market share declined 1.8 percentage points. While retail sales been short of our expectations we remain focused on the many strengths within our business including strong demand for our Project Rushmore Touring bikes. In fact, year-to-date Touring retail sales were up significantly despite the absence of Road Glide. And with regards to our new Street motorcycle line-up, the bikes have received a great reception from our worldwide dealer network, the motorcycle press and customers. Early feedback from our Riding Academy suggests graduates are excited about the opportunity to purchase the Street as their first Harley. And early customer sales in India and Southern Europe are very encouraging. Street motorcycle sales to U.S. dealers for use in our Riding Academy were completed late in the second quarter. A total of approximately 1,600 Street 500s were sold to dealers in the second quarter and approximately 2,200 during the first half. Street motorcycle shipments for customer retail sales began in late Q2 in very limited quantities. As I noted earlier, we experienced difficulties with the start-up of Street which resulted in a slower Q2 roll-out of bikes to U.S. dealers for sales to customers. We now plan to ship each U.S. dealer two Street motorcycles for retail by the end of August. We anticipate that our ability to supply the U.S. dealer network will improve toward the end of Q3 and into Q4. However, start-up costs will continue. While we have – while we continue to expect to ship between 7,000 to 10,000 Street motorcycles worldwide in 2014, shipments will be skewed more toward the end of the year versus our original plan. Overall U.S. dealer retail inventory was up approximately 6,600 motorcycles at the end of Q2 compared to the same quarter last year. Inventory was higher than desired due to our soft retail sales during the quarter. As we have discussed many times we are committed to aggressively managing supply in line with demand as demonstrated by our shipment guidance reduction. We continue to expect U.S. year-end retail inventory to be up moderately from 2013 levels driven primarily by the addition of the new Street models. On Slide 14, you'll see retail sales in our international markets were up 0.1% in the second quarter. In the EMEA region Q2 retail sales were up 7% driven by growth across most countries, in particular Southern European countries and emerging markets in the region posted very strong growth. During the first six months of 2014, our 601+cc market share in Europe was 12.1%, down 0.4 percentage points versus the same period last year behind the introduction of several new low price competitive models. In the Asia-Pacific region, retail sales were up 1.5% in Q2, very strong retail sales in our emerging markets offset a steep decline in Japan. We believe that Japan sales tax increase that went into effect on April 1, 2014, pulled significant sales forward into Q1 resulting in a 33% increase in that quarter and drove a 20.9% decrease in Q2 retail sales. On a year-to-date basis, Japan retail sales were up 1.0%. Emerging markets in the Asia-Pacific region posted very strong gains driven by India, where retail sales were more than doubled during the quarter as a result of a very strong demand for the new Street motorcycles. Latin America region was down 10.4% during the quarter, as last year's very strong growth of 39.2%. Brazil's retail sales have also been impacted by a slowing economy, consumer uncertainty, and very aggressive price competition. Retail sales in Canada were down 18% in the second quarter, which we believe is due to poor weather conditions and an adverse response to recent price increases by our Canadian distributor initiated to recover unfavorable currency exchange impacts. During the quarter, we added five new international dealer points as we continue to increase our international distribution. We believe that we can realize strong international growth opportunities by expanding our dealer network and increasing our brand relevance by delivering new products such as Street. On Slide 15, you will see wholesale shipments of Harley-Davidson motorcycles in the quarter were up 9.0% compared to last year. Second quarter shipments finished at the low end of our expected shipment range of 92,000 to 97,000 motorcycles. During the quarter, the mix of Touring motorcycles increased 6.3 percentage points from the prior year as our new Rushmore Touring motorcycles continue to create demand in the market. Also during the quarter, shipment mix of our Street and Sportster category was up, however, not as much as we had anticipated given the challenges with Street start-up. We will continue to ramp up Street motorcycle production through Q3 and expect to be up to speed during the fourth quarter of the year. On Slide 16, you will see revenue for the motorcycles and the related product segments was up 12.4% in the second quarter, behind a 9% increase in shipments. During the quarter, the average motorcycle revenue per unit increased nearly $1000 from the year ago quarter primarily driven by higher pricing, favorable mix, and favorable currency. On average, our key currencies in the second quarter were stronger against the U.S dollar by approximately 1% compared to 2013. Parts and accessory sales were up 0.7% in the second quarter. General merchandize sales were down 6.5% during the quarter. As we move forward with our efforts to transform the Harley-Davidson customer experience, we have initiated an aggressive SKU reduction plan across our parallel [ph] product offering. We believe the reduction will better focus dealers on fast-moving products and improve the customer experience with a more targeted assortment of popular styles. We anticipate a couple quarters of flat revenue as dealers sell through discontinued items. On Slide 17, you will see gross margin in the quarter was 39.5%, which was up 2.6 percentage points compared to last year. Volume, price, mix, currency, raw materials, and manufacturing were all favorable for the quarter. During the quarter, mix was $30.9 million favorable behind a higher mix of Touring motorcycles compared to 2013. Manufacturing costs in Q2 reflect the benefits from increased year-over-year production, restructuring savings, and lower pension costs, compared to last year's second quarter. On Slide 18, operating margins as a percent of revenue for the second quarter was 25.8%, up 3.9 percentage points compared to last year's second quarter, operating income of $473.3 million for the quarter was favorably impacted by highly gross margin, partially offset by slightly higher SG&A spending and an unfavorable comparison to last year's period, which included $5.3 million in restructuring benefit. We are pleased with our ability to leverage both our growth margin and operating expenses in the second quarter. Going forward, we will remain intensely focused on improving our cost structure and managing the business to be stronger, more flexible and more profitable. Now moving onto our Financial Services segment on Slide 19, in the second quarter, HDFS operating profit of $74.4 million, was 0.4% higher than last year. The three primary factors impacting second quarter results were first, net interest income was favorable $8.5 million driven by increased receivables and favorable interest expense, partially offset by lower yields on receivables due to increased competition. Second, the provision for retail credit losses was unfavorable by $5.0 million due to higher retail credit losses and increase in the reserve rate and growth in retail receivables. And finally, HDFS operating expenses were up $3.4 million. Going forward, we continue to expect pressure on HDFS' operating income as a result of modestly higher credit losses and tightening net interest margins due to increasing competition and rising borrowing cost. Now, Larry will provide more detail on HDFS' operations on Slide 20. Larry?
Lawrence Hund: Thanks, John, and good morning. During the second quarter, HDFS retail motorcycle loan originations increased 10.5%, or $95.3 million compared to the same period last year. The higher originations were driven by a 2.2 percentage point increase in retail financing market share for the second quarter compared to last year and a higher average amount financed. For the second quarter, HDFS retail financing market share of new Harley-Davidson motorcycle sold in the U.S. increased to 56% compared to 53.8% in 2013. The primary driver of the year-over-year market share gain was the price changes in the prime segment, which were initiated during the second quarter last year in response to increasing competition. Finance receivables outstanding increased 9.5% compared to a year ago driven by growth in both the retail and wholesale portfolios. We believe the overall loan portfolio was solid, comprised of profitable loans in both the prime and subprime segments. In the second quarter, between 75% and 80% of our new retail loan originations were prime. During the second quarter, HDFS continue to maintain a strong liquidity position, delivered solid credit performance, and contributed strong profitability. We remain focused on enabling sales of Harley-Davidson motorcycles while providing an attractive return to Harley-Davidson, Inc. Now, let me turn it back to John.
John Olin: During the second quarter, HDFS accessory completed an $850 million asset-backed securitization transaction at a weighted average interest rate of 0.93%. In addition, we repurchased 1.9 million shares of Harley-Davidson stock for $135.7 million during the quarter. As we have stated, returning value to our shareholders through increasing dividends and share repurchases is the top priority. We will continue to evaluate opportunities to enhance value for our shareholders. Now, I will review the remaining Harley-Davidson, Inc. financials on Slide 23. I would like to highlight two items. First, with regards to operating cash flow, we generated operating cash of $570.6 million through the first half of 2014, operating cash flow was up $180.9 million from last year primarily driven by lapping last year's pension contribution of $175 million, lower working capital, and increased earnings, partially offset by higher wholesale finance originations. And second, the year-to-date tax rate was 35.3% compared to 34.8% in the year ago period. The higher tax rate reflects the expiration of the R&D tax credit at the end of 2013. On Slide 24, you will see our overall expectations for the remainder of the year. As previously stated, we now expect to ship 270,000 to 275,000 motorcycles on a worldwide basis in 2014, up approximately 3.5% to 5.5% from 2013 shipments. During the third quarter, we expect to ship 49,000 to 54,000 motorcycles, which is approximately flat to down 9% compared to last year's third quarter shipments of 54,025 motorcycles. Even with the change in shipment guidance, we continue to believe 2014 operating margin for the motorcycle segment will be between 17.5% and 18.5%, up from 16.6% in 2013. We believe, 2014 operating margin will benefit from a modest increase in gross margin and from SG&A falling as a percent of revenue. We expect Q3 gross margin to be approximately 2.5 percentage points below Q3 2013's gross margin driven by one, unfavorable mix, as anticipated Rushmore, which delivered strong mix gains since its introduction will be lapping its initial launch in Q3 2013, while at the same time, we believe Street had a much lower price point will be an increasing portion of shipment mix. Two, lower year-over-year production as we adjust our shipment expectations, and three, start-up costs of approximately $5 million for Street. For HDFS we continue to expect operating income will be down modestly in 2014 compared to 2013. We continue to expect capital expenditures in 2014 to be between 215 million and 235 million. Finally, we continue to expect our full-year 2014 effective tax rate to be approximately 35.5%. So to recap, during the quarter, we successfully increased gross margin and operating margin, which resulted in a 33.9% increase in diluted earnings per share, shipped the first all new Street motorcycles, the customers in the U.S., India, and southern Europe revealed Project LiveWire and electric motorcycle experience, which is generating a great deal of customer excitement and delivered shareholder value through dividends and the repurchase of $136 million of company shares. While we are disappointed in Q2 retail sales, we are pleased with our second quarter financial results and key accomplishments throughout the quarter. We will continue to position the company for long-term success by remaining focused on executing our growth strategies and delivering strong margins, strong returns, and value to our shareholders. Thank you for your continued confidence and investment in Harley-Davidson. Now, let’s take your questions. During the second quarter, HDFS accessory completed an $850 million asset-backed securitization transaction at a weighted average interest rate of 0.93%. In addition, we repurchased 1.9 million shares of Harley-Davidson stock for $135.7 million during the quarter. As we have stated, returning value to our shareholders through increasing dividends and share repurchases is the top priority. We will continue to evaluate opportunities to enhance value for our shareholders. Now, I will review the remaining Harley-Davidson, Inc. financials on Slide 23. I would like to highlight two items. First, with regards to operating cash flow, we generated operating cash of $570.6 million through the first half of 2014, operating cash flow was up $180.9 million from last year primarily driven by lapping last year's pension contribution of $175 million, lower working capital, and increased earnings, partially offset by higher wholesale finance originations. And second, the year-to-date tax rate was 35.3% compared to 34.8% in the year ago period. The higher tax rate reflects the expiration of the R&D tax credit at the end of 2013. On Slide 24, you will see our overall expectations for the remainder of the year. As previously stated, we now expect to ship 270,000 to 275,000 motorcycles on a worldwide basis in 2014, up approximately 3.5% to 5.5% from 2013 shipments. During the third quarter, we expect to ship 49,000 to 54,000 motorcycles, which is approximately flat to down 9% compared to last year's third quarter shipments of 54,025 motorcycles. Even with the change in shipment guidance, we continue to believe 2014 operating margin for the motorcycle segment will be between 17.5% and 18.5%, up from 16.6% in 2013. We believe, 2014 operating margin will benefit from a modest increase in gross margin and from SG&A falling as a percent of revenue. We expect Q3 gross margin to be approximately 2.5 percentage points below Q3 2013's gross margin driven by one, unfavorable mix, as anticipated Rushmore, which delivered strong mix gains since its introduction will be lapping its initial launch in Q3 2013, while at the same time, we believe Street had a much lower price point will be an increasing portion of shipment mix. Two, lower year-over-year production as we adjust our shipment expectations, and three, start-up costs of approximately $5 million for Street. For HDFS we continue to expect operating income will be down modestly in 2014 compared to 2013. We continue to expect capital expenditures in 2014 to be between 215 million and 235 million. Finally, we continue to expect our full-year 2014 effective tax rate to be approximately 35.5%. So to recap, during the quarter, we successfully increased gross margin and operating margin, which resulted in a 33.9% increase in diluted earnings per share, shipped the first all new Street motorcycles, the customers in the U.S., India, and southern Europe revealed Project LiveWire and electric motorcycle experience, which is generating a great deal of customer excitement and delivered shareholder value through dividends and the repurchase of $136 million of company shares. While we are disappointed in Q2 retail sales, we are pleased with our second quarter financial results and key accomplishments throughout the quarter. We will continue to position the company for long-term success by remaining focused on executing our growth strategies and delivering strong margins, strong returns, and value to our shareholders. Thank you for your continued confidence and investment in Harley-Davidson. Now, let’s take your questions.
Operator: (Operator Instructions) Our first question comes from the line of Sharon Zackfia. Your line is open from William Blair. Your line is open.
Sharon Zackfia – William Blair: Hi, good morning. There is a lot of conversation in the script about Sportster and the potential weakness there ahead of Street. Is there, I know you don’t normally quantify retail sales by family. But could you give us any kind of granular information on how much that did impact retail sales in the June quarter? And then secondarily, there seems to be increased investor concern over competition particularly from Indian, but it sounds like Touring sales remained very strong, so perhaps if you could give us some color on that?
Keith Wandell: Sure, Sharon. When we look at the Sportster, the impact, again, kind of taking you back, we announced that Street would be coming to market in November of last year. And at that time we knew it would have some adverse impact on Sportster sales. But we anticipated that to be over the very low months and it ended up extending out being through the entire first half. The reception that we've had to Street was much greater than we anticipated and the impact we believe to our Sportster sales was also greater than we had anticipated. And again, we originally expected to have bikes available for sale very early in the second quarter to consumers. Your second question Sharon with regards to competition from Indian. And Indians, most of the bulk of Indian sales are in the Touring segment. I think two of their three models are in the two that are selling the most are in the Touring segment. And again, our Rushmore bikes have done fantastic, and in the first half they were up in double-digits as well. And when we look at overall market share for the first half, we've got, by far the vast majority of that share, were largely flat, Indian was up a bit and the rest of the competition in touring bikes was down a bit.
Operator: Your next question comes from the line of Felicia Hendrix from Barclays. Your line is open.
Felicia Hendrix – Barclays Capital: Hi, there. Thank you for my – for taking my question. I have two questions. The first one is on just ASPs in the second half. And could you just help us think about that for a second, because with the – as your Street shipments increase, I would assume that the ASPs would be down year-over-year, but you mentioned that the Road Glide is coming back and your new product launch is coming soon, so just when you put all of the variables together, how should we think about ASPs for the second half? And then my second question goes back to the market share question, but just looking forward, as you go over the Street, which is a smaller bike, it seems like your comparable market share numbers are going to be skewed, because that part of your production isn’t going to be captured in that area, so I'm just wondering how we should think about that going forward?
Keith Wandell: And the mix favorability that we are seeing in the second quarter, which is on our bridge, they're $31 million. It's certainly more than we had anticipated given the fact that we didn’t ship the Street that we expected. And so basically, we pulled some margin favorability out of Q3 into Q2, and also we pulled some of that ASP from Q3 of the back half into Q2. So even despite the Road Glide coming back, we would expect ASPs to be down a fair amount in the second half just because of the magnitude of the lower selling price of Street and impact on mix the lower profit there as we increased the percentage of our total shipments of Street in the second half. Now, having said that, we expect, again, from a financial standpoint, overall gross margins to grow modestly on a year-over-year basis. And when we look at mix in total, we would expect mix to be a benefit on an absolute dollar basis to our profits and as a percent of margin, we expect it to be neutral. At the beginning of the year, we expected it to be a little bit unfavorable and now we are expecting to be more neutral because of the fact that we've had very strong model mix within our Touring segment as people are opting for the higher trim limited as well as the Street Glide special. The second question that you had was on market share of Street. And I'm not sure I completely understand the question Felicia, but I think dealing with is – when we talk about 500, of Street 500 that will not be picked up in our market share, because the market share is a 601+cc. However, all of the Street 750s will be picked up in market share, so that we certainly could have retail sales growing faster on a company-wide basis than retail sales for the 601cc segment.
Operator: Your next question comes from the line of James Hardiman from Longbow Research. Your line is open.
James Hardiman – Longbow Research: Hi, good morning. Thanks for taking my call. Just couple of questions on Road Glide here, you mentioned that it was 10% of the mix in 2Q of last year. That seems pretty comparable with the number you gave in the first quarter. Obviously, it's difficult to tell how many people are holding off until the upcoming Road Glide is released but it seems like that, that rumor is gotten out there. So, I guess at the end of the day, do you think that it was a bigger headwind in the second quarter than it was in the first quarter when you account for switching? And as I think about the third quarter, I'm assuming that it represented a very small number of your shipments in the third quarter of last year. Was it a significant part of retail for 3Q, just trying to think about sort of hopefully getting to a tailwind from a Road Glide perspective? Thanks.
John Olin: Thanks, James. Yes, in the first and second quarter it's been 10%. I think we believe that the impact is consistent between the two quarters. We don't see or we don't believe that as we get closer to it more are holding off, again we've talked about some very loyal customer to that type of riding experience and frame. So, I don't think that there is a kind of a curve here that would suggest that as we get closer more are holding off. We have done some research and looked at the sales that we've had of Road Glide up to this point and a very, very small percentage of Road Glide had been purchased to-date have been by Road Glide, folks that bought a Road Glide in the last five years. So that gives us increased confidence or renewed confidence that most of our Road Glide riders are loyal and are waiting for the return of Road Glide. In order to answer your second question, into Q3 of last year, Road Glide accounted for 8% of the total U.S. sales, and remember at that time we're just announcing that Road Glide was being discontinued, we didn't talk about when it was coming back. And we had a tremendous amount of activity on customers buying the Road Glide and snapping them up in the third quarter. That fell continued into the fourth quarter but fell as a percentage of total U.S. sales down to just sigh of 4% in Q4. And then was move out into the first half of next year – first half of this year is essentially zero.
Operator: Your next question comes from the line of Craig Kennison from Robert W. Baird. Your line is open.
Craig Kennison – Robert W. Baird & Company: Good morning. Thanks for taking my question. John, I wanted to clarify. Did you say that 150 Street bikes were shipped in the quarter?
John Olin: Essentially, in the U.S., well certainly more were shipped internationally.
Craig Kennison – Robert W. Baird & Company: Right, and then of those 150, did any of them count as retail units?
John Olin: Yes.
Craig Kennison – Robert W. Baird & Company: Either because they were sold to a dealer, who sold it himself or to a customer?
John Olin: Yes, I'm sorry, the 150 I was referring to were sales just for our customers, not for Rider Academy. And I think somewhere about the third of those retails. So they just started shipping out in the last, very last days of the quarter.
Craig Kennison – Robert W. Baird & Company: So, how many went into the Rider Academy and then ultimately were counted as retail because the dealer registered that unit?
John Olin: Okay. So, we're talking just the U.S. market.
Craig Kennison – Robert W. Baird & Company: Yes.
John Olin: In the second quarter, 1,600, 500s were shipped into the dealers for use in Rider Academy program. All of those are recorded as a retail sale, because that is their use, despite the dealer. And in the first quarter we had about 600 that went into Rider Academy. So in total, in the first-half about 2,200 bikes went into Rider Academy and then again in the United States we're able to ship out, we're on again very strict allocation of Street going forward of two per dealer, but we shipped out somewhere in the range of 150 for sale to customer, and probably a third of those retail within – the day they're getting on the floor.
Craig Kennison – Robert W. Baird & Company: That's great color. Can you just maybe clarify the production issues you mentioned with respect to Street and how you rectified them, thanks.
John Olin: Yes. So, you know what, to understand some of the Street start-up issues that we're experiencing is really the kind of focus on the fact that this is the first time we're manufacturing product internationally and with that the majority of the supply chain is international which is unlike what we have experienced in the past where the majority of the supply chain is domestic. And not only is that a much longer supply chain but it is with a lot of new suppliers. And, this is important as we start to deliver Street around the world at a price point that we real good about. Anyhow, with regards to that we're going through a learning curve with our suppliers and our expectations around finishes and quality we've struggled with ordering and delivery and the very long supply chain. So, in essence, Craig, it's those issues we believe are behind us at this point. However, some of the implications are still in front of us and those implications being the fact that we're on a strict allocation of Street through August and we expect to ship to Street vehicles to each dealer in the United States through the end of August and toward the end of the third quarter we'll be up to speed. And what basically happened is, there are just not enough parts on their way to us and there's – because of those issue that we've had. Now to mitigate that and to get as many bikes in our dealers hands and to fulfill the demand that's out there is we are experiencing higher start-up costs namely in the wane of air-freighting parts in. And what we're trying to do is to leapfrog supply chain. So from a production and a manufacturing standpoint, we're not experiencing issues that's much more on the start-up and supply-side of that equation. That's also having an impact on our profitability between quarters because we expected to ship out a lot more bikes in the second quarter and we would have expected a little bit less gross margin in the second quarter and that's going to come out of the third quarter. And as we've talked about Q3, gross margin is going to be down at 2.5 percentage points, largely borrowed from the second quarter and the extreme mix favorability that we've had.
Craig Kennison – Robert W. Baird & Company: That’s helpful. Thanks, John.
Operator: Your next question comes from the line of Rod Lache from Deutsche Bank. Your line is open.
Patrick Nolan – Deutsche Bank: And second on the currency of the $17 million. If you could just give us some clarity of, based on where it currently is today, what you expect that impact to look like in the back-half?
John Olin: Okay. I'm not going to break-out, Pat, the individual pieces of manufacturing but we can certainly talk about the buckets of favorability. And you adequately touched on a couple of them. The large driver is incremental margin, and in the benefit that we're getting out of that incremental production. And I guess, to take a step back and to look at that number and yes it is a big number. And on a first-half basis the $28 million is big number two. But these are the things that we've been working toward for the last several years and all the restructuring that we've done and the transformation and on the product that we're delivering and the margin structure of the new products that are coming out is really, we're seeing the benefit of lot of that hard-work over the past couple of years. But the biggest driver is incremental margin and you've got productivity and remember this year we worked on surge manufacturing in Kansas City, so that's delivering it. And our plans are running very well. We've got temporary inefficiencies that are starting to dissipate from where they were at a year-ago level. So on a year-over-year basis there's lower temporary inefficiencies and then we've got pension favorability because of the lower discount rate and that that starts to flow through the pension expense. And then we've got some offsets going the other way in terms of inflation and Street start-up costs in the quarter, but overall, very pleased with that manufacturing number. So when we look at the back-half of the year, we're looking at currency to be flat to slightly negative and our full-year view of overall currency is a bit more favorable than it was at the start of the year which we felt currency would be on the negative side. Certainly on a full-year basis currency will be positive and we think will largely hold the gains that we've seen in the first-half.
Operator: Your next question comes from the line of Adam Jonas from Morgan Stanley. Your line is open.
Adam Jonas – Morgan Stanley: Hey, everybody. I saw my first Street 750 on – near Alicante in Spain a week or so ago. I have to admit, it looked pretty sweet.
Keith Wandell: Excellent.
Adam Jonas – Morgan Stanley: Guys, a question, at first, I think it's admirable you guys are maintaining tightness in the supply chain to protect pricing. I wonder if you can comment on some of your competitors who maybe aren't either willing or is able technically to be as tight as you to the extent that there is softness in the overall market. Are you seeing or are you otherwise expecting increased pricing in competition in the U.S. market in particular? It's my first question. And I guess, just more broadly you're citing a lot of companies' specific reasons, and launches, and start-up, and timing as to the second-half outlook, which is essentially flat or even slightly down potentially volume year-on-year shipments for all of the second-half. You're suggesting almost all of the company specific, but I'm just giving you a chance to highlight any broader macro or market reasons for the weakness as well. Thanks.
Keith Wandell: Okay. Adam, we don't see any structural change in pricing in the industry as we move forward. What we're seeing in the first-half is the weaknesses that we expressed which is due to weather and some self-inflicted wounds on Sportster and Street and the interaction between the two. And what our volume guidance is basically doing is taking out that miss in the first-half, and we're back on our growth trajectory for the second-half that we originally anticipated with the year, that's just [ph] slightly a higher growth trajectory. And so as we've said for quite some time is we're going to deal with the issue and take the volume out. We've got too much inventory and I can't stress enough how much these commitments mean to us. Certainly, shipping guidance is one of them. But the other one is our strategy to aggressively manage supply in line with demand and we are going to maintain the integrity of the market and our dealer network and also the premium nature of the brand. So, a tough and painful decision, you know we could have talked about promoting our way out or growing our way but we got an issue, we're addressing it and we're pulling it out. But when we talk about the first-half, second-half the brand fundamentals remain intact and nothing is changed in any of those between coming out of the first quarter or last year. We couldn’t feel better about the brand. We are very disappointed in the second quarter results. But the drivers that we look for in the fourth quarter or the back-half of the year in terms of retail growth as well as into the future are the same drivers that got us here over the last couple of years. And those are strong appeal of the brand and while market share is down 1.8% in the first-half it's certainly within our expectations and all explained, and then some by Road Glide, but also Sportster herd is about third of that margin or I'm sure loss is due to Sportster. When we look at the industry the industry has grown for three straight years coming into this year and in the first-half the new bike industry is up 2% and that's despite the tough weather as well as the fact that Road Glide represents 5% of the industry in the first-half. We're seeing more investment in the industry than we've seen in the last five years in terms of new products, marketing and advertising. And we're seeing it across all segments. So feel great there, continued success on outreach. International – 75% of international markets are growing very strong in terms of EMEA and Asia-Pacific. Some difficulties in Canada and Brazil, and otherwise the motorcycles that we've brought to market have been fantastic.
Operator: You next question comes from the line of Tim Conder from Wells Fargo Securities. Your line is open.
Tim Conder – Wells Fargo Securities, LLC: Thank you. John, you've given some good explanation of the self-inflicted wounds with the miscalculation on both Street versus the Sportster and start-up issues and so forth. But, regarding retail, can you give us as much as possible, any commentary on what you're seeing so far in July. It appears that weather is starting to get a little bit better, any comments from that standpoint? And then also regarding the Street margin impact cadence, if we're understanding you right are you saying that, that impact should be largest in the third versus the fourth even though your volume mix of Street will be skewed more to the fourth? And then one final would be, recall cost. Any in the current quarter, mainly in the second that you reported or will those fall more in the third? Thank you.
John Olin: Okay. First question is easy as we're not going to provide any retail guidance on July, though our comments are through the end of the quarter. As we look and as I just mentioned we're back on the growth trajectory. We expect the same growth trajectory as we expected, when we started the year and gave our 7% to 9% guidance. We've taken down kind of our miss in the first-half but expect that. Now, having said that, we know that the retail comps in the back-half are pretty significant in particular in the third quarter. But again the fundamentals are strong and we're moving forward in the second-half. The second question that you had with regards to which quarter Street will have a bigger impact on, is probably the fourth quarter, but largely in the back-half and again as we get up to speed, full-speed won't be until the fourth quarter. I don't know if mentioned that we still expect to ship to 7,000 to 10,000 units that we originally did in Street except for they were going to be skewed much more to the back-half. And then the final question was recall costs. The recall costs are booked when the recall is announced and so all recalls are booked in the second quarter and there is nothing anticipated for the third quarter.
Operator: Your next question comes from the line of Joe Hovorka from Raymond James. Your line is open.
Joseph Hovorka – Raymond James: A question I want to clarify on the Road Glide, I think the first time we started talking about it was the third quarter of last year when you took it out of the line-up and at the time you said it was 10% of Touring volume and 4% to 5% of total volume. And now, we've been talking about 10% retail for the first two quarters for domestic. Is the numbers you originally gave were those worldwide and that's why the overall number is lower or is there something else that (inaudible) like what are those numbers (inaudible)?
Keith Wandell: Joe, you're exactly right. When we first talked about Road Glide, we were doing it versus worldwide numbers Touring is skewed to the U.S. And as we started talking more about the impact on U.S. sales, we kind of moved toward what percentage of Road Glide was of U.S. sales. So all the numbers are correct, the difference is some are worldwide and the ones that we've been most recently talking about in terms of the 10% in the second quarter and the 8% in the third quarter coming up here are of U.S. sales of all motorcycle, all retail or all U.S. retail sales.
Operator: Your next question comes from the line of Pat Archambault from Goldman Sachs. Your line is open.
Patrick Archambault – Goldman Sachs: Great. Thanks a lot, guys. Two questions from me. One is just a clarification on the manufacturing issue. Am I summarizing this correctly? Some of these supplier issues you've kind of corrected or you've gotten them sort of in line to where you want them to be. Now it's really just a matter of premium freight going forward and that's kind of the cost that you see kind of trickling into the second-half. That's my first question and then the second one relates to a country that's near and dear to my heart. What's going on with Canada? I guess, I wouldn’t have expected down a 10 [ph]. Is there something unusual happening there? So those are two for me.
Keith Wandell: Okay, Pat. Number one, is you're absolutely correct. The issues that we've faced largely in the supply chain delivering and ordering of Street parts is behind us. However, there are costs that would catch-up that supply chain because we do not have enough parts in a very long supply chain, basically on the water coming to us. And given the very strong demand that we have we're going to try to leapfrog that supply chain to get parts in the U.S. plant. And we've been talking about the U.S., we have kept the flow of parts to India, it's much closer to the source, much easier to get parts there and that has been largely unaffected. It's the U.S. plant that we're talking about obviously affecting U.S. sales. The second question is with regards to Canada. And to understand what's happening in Canada we have to talk about, Canada is a distributor market for us and most other markets around the world we act as the distributor and the distributor's responsibility is to build the brand and manage the dealer network as well as manage currency and credit risk. And the distributor we had in Canada has always done a fantastic job. And as you know, Pat over the last year, we've seen a strong weakening of the Canadian dollar, I think on a year-over-year basis about 8%. And to deal with that, our distributor pays us in U.S. dollars, so we do not have a currency risk with Canada per se, and that’s why when we talk about our basket of currencies, Canada never comes up. Now, the distributor in Canada working with us here in Milwaukee, is working on mitigating that and is put some store level promotions in place in the month of June and carrying that through into July. And we've seen some event [ph] of the trend there, but it’s clearly – we're disappointed with overall sales results in Canada.
Operator: Our next question comes from the line of Jaime Katz from Morningstar. Your line is open.
Jaime Katz – Morningstar:
John Olin: Okay. With regards to on the overall sales, we're not going to break them out. They come in through the, kind of the Street and Sportster segment. But I can tell you that we are ahead of plan in terms of retail sales in India and Southern Europe. And we are finding it in particular in Southern Europe a lot of people coming off of scooters and small motorcycles and things are going on plan to very well, and it’s been very well received in those markets.
Operator: Our last question for today comes from the line of Joe Spak from RBC Capital Markets. Your line is open.
Joseph Spak – RBC Capital Markets: Great, thanks for squeezing me in. One, first is one quick clarification, when you are saying currency is now a slight positive for the year, that’s at the profit level right now or at the sales level, or is it both?
John Olin: So, on a year-to-date basis, currency is about flat for the first half. So in the quarter, currency revenue was very favorable with $7.6 million favorable, and then we had cost of goods sold $9.6 million of favorable as we lapped year ago losses. So those numbers the $17.2 for the quarter when we look at revenue for the half, it’s flat.
Amy Giuffre: All right, thank you for your time everyone this morning. The audio recording and slides from today's call will be available at harley-davidson.com. The audio can also be accessed until August 5 by calling 404-537-3406 or 855-859-2056 in the U.S. The PIN number is 64897481#. We appreciate your investment in… [Ends Abruptly]